Operator: Good morning, and welcome to PACCAR's Fourth Quarter 2012 Earnings Conference Call. [Operator Instructions] Today's call is being recorded, and if anyone has an objection, they should disconnect at this time. I would now like to introduce Mr. Robin Easton, PACCAR's Treasurer. Mr. Easton, please go ahead.
Robin E. Easton: Good morning. We would like to welcome those listening by phone and those on the webcast. My name is Robin Easton, Treasurer of PACCAR. And joining me this morning are Mark Pigott, Chairman and Chief Executive Officer; Ron Armstrong, President; Bob Christensen, Chief Financial Officer and Executive Vice President; and Michael Barkley, Vice President and Controller. [Operator Instructions] Certain information presented today will be forward-looking and involve risks and uncertainties, including general economic and competitive conditions that may affect expected results. I would now like to introduce Mark Pigott.
Mark C. Pigott: Good morning. PACCAR reported good revenues and net income for the fourth quarter. PACCAR's fourth quarter sales and financial services revenues were $4 billion and quarterly net income was $253 million, an after-tax return on revenues of 6.3%. For the full year of 2012, PACCAR reported record revenues of a little over $17 billion. Net annual income was $1.1 billion, an increase of 6% versus 2011. This was the fourth best net income year in our history and PACCAR's 74th consecutive year of earning a net profit. Earnings per share were $3.12, an increase of 9% versus a year ago. More good news. PACCAR's dividends increased by 22% during the year. I'm very proud of our 21,800 employees who have delivered industry-leading products and services worldwide. Our dealers and customers in North America and Europe are benefiting from good freight demand, as evidenced by strong aftermarket parts and service business and excellent PACCAR Financial performance. Customer truck purchases are focused primarily on replacement as they continue to navigate the uncertain global economy. PACCAR delivered 31,700 trucks during the fourth quarter, an increase of 2% compared to the third quarter of 2012. I'm pleased to report that Peterbilt, Kenworth and DAF grew their market share to record levels last year as customers recognized the benefits of our high-quality and efficient trucks. PACCAR's retail share of the U.S. and Canadian Class 8 truck market was 28.9% and DAF's share of the European above 16-tonne market was 16%. During the year, Kenworth and DAF delivered 6,300 trucks in the Andean region of South America, that's the region outside of Mercosur, and a record 2,700 units in Russia, an increase of 80% compared to 2011. Looking forward, PACCAR truck deliveries in the first quarter of 2013 are expected to be comparable to the fourth quarter of 2012, although they could be lower by 1% to 2%. The fourth quarter North American industry truck orders were encouraging, but there continues to be pressure on truck margins in North America and Europe and we expect first quarter gross margins to be slightly lower compared to fourth quarter. Other good news, though, there is some improvement on vocational truck sales as housing starts are increasing, primarily in the United States. Looking at the truck market overall in 2013. The U.S. and Canadian Class 8 industry retail sales are estimated to be in the range of 210,000 to 240,000 units. In Europe, the greater-than-16-tonne truck market is anticipated to be in the range of 210,000 to 250,000 units. There may be some customers in Europe who will accelerate purchases of the Euro 5 vehicles ahead of the introduction of the Euro 6 emission requirements in 2014. Reviewing 2012, I'm pleased to say it was a milestone year for PACCAR as we launched more new trucks than at any time in our history, and that's a lot of trucks. Kenworth, Peterbilt and DAF have updated over 60% of their product range with new fuel-efficient, ergonomic and, I like to say, stylish vehicles. We're very pleased with the excellent response from dealers and customers to the new Kenworth T680 and the Peterbilt Model 579. The new DAF XF Euro 6, powered by the PACCAR MX-13 engine, will begin production this spring. PACCAR's global business initiatives are making excellent progress. New product investments continue in 2013, with many exciting launches planned during the year. Capital spending in 2013 is estimated to be $400 million to $500 million and research and development expenses are estimated to be $225 million to $275 million. Construction of our new DAF assembly factory in Ponta Grossa, Brazil, is on schedule and is expected to begin production in late 2013. PACCAR, as you may know, has approximately 5% share of the total South American truck market, and our medium-term goal is 20%. PACCAR is investing in its network of 15 parts distribution centers to meet the demands of our customers and dealers. We're constructing a new 280,000-square-foot distribution center in Eindhoven, the Netherlands, which will be opened in April of this year. We're also doubling the capacity of our distribution center in Lancaster, Pennsylvania. Turning to PACCAR Financial. PACCAR Financial Services revenues were $298 million in the fourth quarter compared to $266 million in the prior year. PACCAR Financial's fourth quarter pretax income was $79 million compared to $67 million earned in the fourth quarter of 2011. The excellent results benefited from growth in portfolio balances. For the full year, PACCAR Financial revenues were $1.1 billion compared to $1 billion a year ago and pretax income was a record $308 million compared to $236 million in the prior year. PACCAR Financial, with its strong A+ credit rating, has excellent access to the commercial paper and medium-term note markets. Last year, PACCAR Financial issued $2.2 billion in medium-term notes, all at competitive rates. So in summary, PACCAR continues to enhance its leadership position in the global truck market by investing in new geographic regions and the highest-quality products in the industry. Thank you, and I'd be pleased to answer any of your questions.
Operator: [Operator Instructions] Your first question comes from the line of Andy Casey from Wells Fargo Securities.
Andrew M. Casey - Wells Fargo Securities, LLC, Research Division: On the 2013 planned R&D reduction, is that just related to an exit from product transition?
Mark C. Pigott: That's a good question, as you know, and obviously you could share my enthusiasm for all the great things that happened last year. A lot of the R&D was focused on probably 2 primary areas. One was the launch of a lot of new trucks by every major division in PACCAR, and also getting ready for Euro 6 and EPA 13 engine emissions. So a lot of that work has either been completely done or is almost done. And so we have other projects but a big chunk was completed last year.
Andrew M. Casey - Wells Fargo Securities, LLC, Research Division: And then I wanted to kind of skip to a bigger-picture question on some item -- on an item that you've covered before. But the cycle-to-cycle margin headwinds, you've kind of mentioned we should expect more subdued this cycle relative to last decade, with part of the reason related to this, as you just discussed, the incremental emissions content. And in North America recently, one of your European competitors that competes down in Brazil kind of mentioned the same thing showing up, post Euro 5, down there. And then looking forward, do you expect Europe to be similar to those other regions post Euro 6? And then what sort of actions actually can be taken to kind of offset that and reinvigorate some of the margin performance?
Mark C. Pigott: You bet. Obviously, an area that everybody here spends a lot of time working very diligently. Let's take a look at in sort of 2 segments -- or maybe 3. First of all, Euro 6, the additional cost just to meet the requirements, and I think you've heard this from many people in the industry, will be over EUR 10,000 per vehicle. So there will be additional costs that customers will have to get comfortable with. And we've seen every 3 years or so for the last 20 years, that has some impact on the OEM margins so we just had to work through that. Obviously, we're very diligent about working with programs, whether it's Six Sigma or 5S or other program to try to offset some of that cost impact. On a broader global view, we're working hard as we get into Brazil. And we talked about beginning production late this year. Brazil, so far, has the highest margins of any truck market around the world. And that's certainly benefited our competitors and we look forward to sharing the benefits of that market as we really get up and running and growing our business in Brazil. So I think that's a positive. Another one is, as we bring in our own MX engine and we move things like a common rail, a fuel injection, and we continue to work on reducing the cost of the after-treatment and EGR cooler, I think there's some benefits for margin enhancement on that. And I guess complementing that is the continued growth of our aftermarket business as we get a bigger footprint around the world and continue to be the most focused and most efficient manufacturer in our industry. So I think there are some benefits out there that should enhance margins. But of course, the biggest driver, and I think you and your colleagues have mentioned this many times, is let's get back to a market that's in the top 5 of the last decade and I think you'll see some exciting opportunities. That's really going to be the big driver for margin enhancement.
Operator: Your next question comes from the line of Ross Gilardi from Bank of America.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: I had a few questions on Europe. I mean, it looks like, for the industry, you're basically guiding to flat at the midpoint, and the registrations would've finished the year on a pretty weak note. Could you just give us a better sense of what you think the cadence of the year will look like? And if we don't have a prebuy in Europe, is that basically what the low end of the range for Europe of 2010 is implying, i.e., kind of a 5% decline in 2013?
Mark C. Pigott: I think, when you look at Europe and North America, they're probably going to be similar. I think it's been pointed out certainly by competitors and industry analysts. We're really looking for a stronger second half in the North American market and in Europe also, and some of that may be driven by prebuy. We've got a few inklings of some positive economic trends here in the U.S., we'll have to see how that translate into the broader economy. In Europe, if people decide that they want to take a little bit more of a wait-and-see attitude on absorbing the Euro 6 cost increases, that'll have an impact. There may be ongoing challenges in some of the European countries in terms of their just general economies. So I think that's why we have a little broader, broader range there. And of course, as the months go on, we'll all get a little bit smarter and be able to adjust that range accordingly.
Ross P. Gilardi - BofA Merrill Lynch, Research Division: And then could you just talk a little bit more about pricing and what you're seeing in the different regions and maybe what we should think about in terms of a price contribution overall for 2013 at this point?
Mark C. Pigott: Are you talking about truck pricing?
Ross P. Gilardi - BofA Merrill Lynch, Research Division: Truck pricing, yes.
Mark C. Pigott: Yes. Well, the good news is that many of our dealers, because of their strong focus and work on their absorption, had record years last year or very strong years, and a lot of our good customers are starting to report strong and, some of them, even record results in the fourth quarter, from what you see in the different industry press. So that's encouraging. The people that are still operating, and there's many, many good ones, have survived a couple of tough downturns in the last decade. But they're cautious, some of them have announced that they're going to be increasing their purchases, but I think, in that, it's still primarily replacement because I think everybody's waiting to see what the tone and the direction of the general economy is. And as we move through the year, if the housing gets going, and that's going to be a benefit for steel and concrete and brick and everything, all the white goods that go inside a house, we'll see a lot of our customers perhaps expanding their fleet, and that'll be good for pricing overall.
Operator: Your next question comes from the line of Andy Kaplowitz with Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Mark, maybe following on, on that last question, if you could talk about order trends that you've seen recently. Obviously, we've seen sort of a -- maybe some of the political headwinds that have been out there in the U.S. have started to subside a little bit, and certainly, the markets, the equity markets, are doing pretty well. And you mentioned some freight guys reporting decent results. Have you seen any subtle change in your customers recently?
Mark C. Pigott: I think, in terms of our -- I mean, we have the same great customers we've been working with for quite a few years. But the positive aspect that we monitor on a daily basis is, say, quotations and inquiries in terms of who is looking for trucks and how many trucks are they looking for. And I think, obviously the first half of last year was pretty strong and then it slowed down in the second half, as you can see by the truck data. In the last, I'd say 2 months, we're actually seeing an uptick in inquiries and quotations. Customers are saying, "You know, it could be good this year, or certainly better." So I think that's somewhat encouraging. That has not translated into a one-per-one order intake. And you've seen a number of our competitors have announced a shutdown or layoffs and different types of programs to reduce their costs. So I think there might be some improvement in the fundamentals just as we look at the number of quotations that our customers are interested in getting current pricing on.
Andy Kaplowitz - Barclays Capital, Research Division: Okay, Mark, that's helpful. If I could shift gears. If you look at your other revenue, you're reporting geography -- your geographical presence. It dropped a little bit sequentially. I assume some of that, maybe a lot that, weakness is Mexico. But maybe if you could talk about that particular market and then any other sort of one-off markets and how they're doing, Australia, Middle East, that kind of stuff.
Mark C. Pigott: Sure. Well, Mexico, which we've been there since the late '50s, it's really one of the jewels in the crown for us. And the Mexican market is pretty good. It did slow down a little bit. I think what probably had more of an impact was the country of Colombia, which has been on a very proactive, positive growth program for the general economy over the last few years and have taken a lot of our trucks and have done very, very well. They've completed some of their projects, including a major pipeline, but they're now reviewing other infrastructure investments, which I think will stimulate truck demand again. So that's had a little bit of a slowdown last year. That may take a little bit of time to reenergize. Australia, it continues to perform well and achieved many records last year. And we continue to be a leader with the Kenworth product, and then in the last few years we've also introduced the DAF product. And DAF's done very well in Australia. So that's gone well. So overall, I think, maybe a little bit of a recalibration in, let's call it, Colombia and a few other countries. But I think they're going to get back on track.
Operator: Your next question comes from the line of Ann Duignan from JPMorgan.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Well, maybe you guys could talk a little bit about your truck sales which were up -- down 19% year-over-year, but Financial Services revenue is up 12%. Is that a penetration story? And maybe you could just give us some more color?
Mark C. Pigott: Sure, we can. Well, the finance group has really done an outstanding job. And our lease organization set many records, which we're very proud of. So I think you've summed it up pretty well that we're financing about 30% of our trucks on a global basis and the customers that we're financing are doing well. I mean, very low past dues and the customers are making good money, as you've seen. So I think it's just -- it's really a credit. I'd look at it as a positive, it's a credit to our finance organization for coming out with the programs and working closely with our dealers and customers to continue to grow that business. And $308 million operating profit, all-time record, is a nice credit to the entire finance organization.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Turning around to first quarter guidance. You said that it will be comparable to Q4, maybe slightly lower. If we add up the days, we would probably have a couple more days in Q1 versus Q4. So are you implying that you're cutting your daily production rates again? Or are we losing days because Easter is early or something like that?
Mark C. Pigott: We've had a few shutdown days, like everybody else. So yes, you're absolutely right on your math in terms of there are a few more days in the first quarter compared to the fourth quarter, with the holidays in the fourth quarter. But I think, just looking at the number of trucks and margins, it's going to be comparable. There's certainly some -- a couple of percent pressure impact that we're looking at.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay. And just finally, as a follow-up. Are you going to be offering the 12-liter Cummins Westport CNG engine? And what -- are you getting any inquiries on the CNG side? Is that where some of the potential pick-up in inquiries is coming from? Or maybe just speak to that whole sector.
Mark C. Pigott: Sure. Well, we're very proud, particularly, well, all of our truck divisions, of being a leader on the natural gas industry and been doing this for, well, gosh, over 15 years now. We offer the 9-liter and the 15-liter, but we're certainly -- are well aware of the 12-liter and have worked with Cummins. We continue to be Cummins' largest partner. We're proud of that and proud of what they've done. So I think, in terms of the natural gas, we've got great product. In terms of the inquiry pick-up, I'd say it's more on the vocational side and perhaps more on some of the -- are just online truckload customers. Natural gas will be a factor, but at this time it's a pretty small factor. We'll just have to see over time how the infrastructure shakes out to -- across, well, North America and, certainly, Europe. Well, we offer a full range and we continue to be the leader and we're proud of it.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: And Mark, was that a no on the 12-liter?
Mark C. Pigott: We have 12 liters running in our fleets and we continue to look at a wide range of offerings. Of course, we're very excited about an engine called the MX-13.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Hence the reason I was asking. But okay, I'll talk to Rob and ask about that [ph].
Operator: Your next question comes from the line of Jerry Revich from Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Mark, I'm wondering if we could talk about the R&D budget for 2013. And can you just frame for us the reduction? Was it an opportunity to combine some engineering across a couple of platforms? Or are there any projects that you're pushing out? Just give us some context, if you don't mind, on the better productivity or otherwise.
Mark C. Pigott: Sure, absolutely. Well, I think, as we might have mentioned earlier, we've completed a lot of major, exciting projects and launched a lot of new products. R&D, I think the change is really minimal because we'll continue to work on new projects and products every year. And I think as 2013 progresses, I know a lot of our engineers have got new things they want to share with the industry, so that'll be a lot of fun and good for our customers and our dealers. And I think that's the very straightforward story.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And then if you could just flesh out for us the production outlook for the first quarter versus the fourth, if you don't mind. We heard from one of your competitors reducing build rates in Europe, and I'm just wondering, how does your Europe-versus-U.S. production mix look like relative to the production guidance that you gave.
Mark C. Pigott: I think, in line with my comments and a little bit of what we talked about in the press release, that the production both in Europe and North America will be comparable, though it could be a couple percent down compared to the fourth quarter. And customers are liking our products. And we continue to look at new products and maintain the strong growth and the share that the teams have been able to achieve over the last number of years. So I'd say comparable, though there's -- there could be 1% to 2% down.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And lastly, you have a meaningful new product launch in Europe. I'm wondering if you could just comment on the margin structure of the new product compared to the one it replaces. Are there any material cost reductions or otherwise? And then what are the implications of the product rollout on your production schedule in 2013 versus what might be a more typical seasonality at your facilities?
Mark C. Pigott: Right. That's the new DAF XF Euro 6 which we launched at the Hannover Show in September. People are very excited about it. I think, in terms of pricing to the customer, it's going to be comparable. We're obviously excited about some of the aerodynamics and benefits that the vehicle will bring to our customers. And that'll -- so it starts coming out April, May time and I think there's just a gradual buildup over the rest of the year. And hopefully there'll be some small benefit on the margin side, but we'll just have to see how the general economy plays out across Europe because that is the large macro impact that all of us have to work through. But it's a very exciting, great-looking truck and -- boy, it just got a lot of positive press, our customers and dealers are really looking forward to production.
Operator: Your next question comes from the line of Stephen Volkmann from Jefferies.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: Mark, a couple of things, follow-up. First, you've made some sort of encouraging comments about the vocational market. If that were to flow through, is that margin-enhancing for you, an increase in the mix of vocational?
Mark C. Pigott: I think, slightly, yes, yes. We're -- obviously, we work with a number of the major bodybuilders and they are slightly encouraged by what they're seeing. And there's -- but yes, it's good business. Also, over time, it's -- over time, it's good business for dealers, parts and service because these vehicles are in some rugged applications.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: Super. I then wanted to ask a couple of things on the MX engine that you mentioned a couple of times. What's the mix right now in kind of your most recent few months of orders of MX engine for you guys?
Mark C. Pigott: It continues to be in the 25% to 30% range. And yes, we've -- so we just passed the -- I think we're up to about 35,000 out running, and that's going well. We've got a lot of very positive stories from our customers about excellent fuel economy, reliability, low noise, easy to drive. So we're very encouraged. We got -- have you been down to our Mississippi factory yet?
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: No, I'm afraid I'm maybe the only one who hasn't. But I would tour it...
Mark C. Pigott: All right, we'll get you down there. You'd enjoy it.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: Can I just ask, I'm assuming that all of these engines are now coming from Mississippi and that you're no longer importing anything meaningful from Europe on this MX engine. Is that correct?
Mark C. Pigott: That's essentially true, yes.
Stephen E. Volkmann - Jefferies & Company, Inc., Research Division: So that should actually be helpful to margins in '13 versus '12, I'm guessing.
Mark C. Pigott: Well, I mean, a little bit. We're actually making a few things now in Mississippi that we're sending to Europe. So the factory is fully engaged and completely outfitted with wonderful robotics and new machinery. We have a great work force there. So I think, over the next couple of years, you're going to see a lot of really wonderful things coming out of Mississippi.
Operator: Your next question comes from the line of Jamie Cook from Credit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Two questions. First, Mark, just on the margins, if we look at margins as we end 2013, let's talk about operating margins relative to 2012. You'll have lower R&D. Europe, potentially more profitable products. Vocational, potentially more profitable products. You talked about shipping more engines from Mississippi and stuff like that. I mean, overall, given the forecast that you've given, do you think your margins in 2013, your operating margins, can be -- do you expect them to be up versus 2012? And then my next question is, can you just talk about, as we ended 2012, sale -- trucks going into sort of the energy markets, how much they were down and what your expectation is or what you're seeing in terms of order trends more currently for trucks going into the energy markets?
Mark C. Pigott: Sure, sure. I think, on margins, I think it's going to be, as I've mentioned at the beginning, for 2013, will be...
Jamie L. Cook - Crédit Suisse AG, Research Division: For the full year, as we end the year, not for the first quarter.
Mark C. Pigott: Right. I think it'll be comparable to 2012. We really need -- and you've been very excellent and diligent about asking these questions for many years and we try to give you good answers. The overall market is still down and we've got to get the general economy going again. I mean, it's not just us as representatives of the commercial vehicle market, there's lots of different industries that want to get this market going again. And I think, as that happens, with the improvements and the investments we've made in our factories and our processes, we'll see some margin enhancements. So if we can get back to a solid 2%, 3% GDP growth, and customers are feeling good about growing their fleets, which is important. I think we started out the comments by saying it's going to be primarily a replacement market, then you'll see some enhancement because our factories are ready, they're the most efficient in our history. These trucks are the best we've ever built in our history. And that's -- so we're ready.
Jamie L. Cook - Crédit Suisse AG, Research Division: No, I mean, I -- no, I get that. But to some degree, you could say you have an R&D tailwind, which we didn't have before. Do you know what I mean, so, you have a more profitable mix? Like, I'm just surprised it's not better than what you're -- I mean, is pricing the biggest factor when you're thinking about things, I mean, besides the market?
Mark C. Pigott: Absolutely. We still have plenty of competitors that, let's say, have a slightly different view on pricing than we do, and that's the world we live in.
Jamie L. Cook - Crédit Suisse AG, Research Division: And then -- sorry, on the energy side, what you're seeing there.
Mark C. Pigott: Oh, the energy. It's -- we sell to the major energy producers, they're great customers. I think that side has slowed down a little bit, there was strong orders last year, that we still continue to get orders. But I think it's now shifting back more towards the, let's call it, traditional on-highway customers.
Operator: Your next question comes from the line of Tim Thein from Citigroup.
Timothy Thein - Citigroup Inc, Research Division: Just following up on the mix, but it was actually trying to get at the truck-versus-parts mix. And you had mentioned a lot of the work you've done in terms of expanding your distribution centers. I'm curious what -- or when -- the benefit of having these 30,000 MX engines in North America in operation, when do you start seeing a -- when do you get enough mileage accumulated, where that starts to become additive to your parts contribution.
Mark C. Pigott: Absolutely. Well, we've got a great history, of course, with the MX engine in Europe. And it's going to be a couple of years. And of course, the good news is we want these engines to be fantastic, and they are. And so to have parts business is some benefit, but we're really working hard to not have too much. But it's a couple of years.
Timothy Thein - Citigroup Inc, Research Division: Okay. And just so I understand it, Mark, what leads to the Class -- in changing in terms of how you -- the capitalization versus expensing of the new product tooling, what -- why does that occur, I guess? I'm trying to understand why it was...
Mark C. Pigott: Okay, are you talking about the little footnote we had?
Timothy Thein - Citigroup Inc, Research Division: Yes.
Mark C. Pigott: Okay.
Unknown Executive: Yes, just we identified certain production tooling investments that were long-lived assets and therefore were capitalized.
Mark C. Pigott: Yes, that's pretty straightforward.
Operator: Your next question comes from the line of Patrick Nolan from Deutsche Bank.
Patrick Nolan - Deutsche Bank AG, Research Division: A couple of questions. First, as we think about a Euro 6 equipped truck, it's EUR 10,000 more expensive. When you look at the operating costs for the customer, does it go up? And what happens to the fuel economy?
Mark C. Pigott: Actually, the fuel economy, with the additional after-treatment, is able to stay at the same level as Euro 5, which is a big plus. There's a lot of additional equipment and we've been able to maintain our weight positions. So the truck is -- one, it's receiving a lot of attention from customers with the attractive operating characteristics, as it will be launched in spring.
Patrick Nolan - Deutsche Bank AG, Research Division: And if I could just follow up on the R&D questions. It makes sense that the R&D would be coming down post some of these product launches that you had in 2012. Would you expect the R&D to pick back up going forward in 2014 and beyond as we get into kind of a more volume business in South America and, hopefully, volume in North America and Europe comes back?
Mark C. Pigott: I think R&D will be in the range that you've seen over the last couple of years. It may not have the peak for a number of years because we've updated and replaced over 60% of our trucks, so that's the majority of the trucks. The big-engine emission requirements are done, although now we're working with greenhouse gas which is -- really goes from 2014 to 2017, in that time frame. So I think it's going to be in the range. The factories that we're building will be complete in Brazil this year. But there's always opportunities and new great ideas that come up from our teams. But I think it's in the range. It may be a little bit lower for a couple of years. But if we come up with a great new idea, we're going to fund it and put people on it and work hard on it.
Operator: Your next question comes from the line of Seth Weber from RBC Capital Markets.
Seth Weber - RBC Capital Markets, LLC, Research Division: I wanted to ask about Brazil. So you're talking about production starting, I guess, in the fourth quarter. Should we expect an expense ramp ahead of that as you add staffing and tooling and things? I mean, is that something that we need to factor into the margins for the second half of the year? And I guess the follow-up is, when do you think you would be at kind of a critical mass of production there?
Unknown Executive: Yes, so as the Brazil plant continues to develop during the course of the year, we would expect to see a little bit of investments there that will affect our results, but it'll be gradual as we go throughout the year.
Mark C. Pigott: That's on the expense side. And then in terms of ramping up, well, certainly, we hope that our customers or potential new customers get excited about the product. We've had a lot of early indications, and we're putting our dealer network into position throughout the country of Brazil. But it will take a couple of years to ramp it up because we build to order, as you know, but early indications are people are looking forward to the product, the product is performing well. And a lot of the customers are aware of DAF. They either have connections with European operators or they've seen the DAF operate in different countries in South America. So they've also seen how it competes very well against the current suppliers in Brazil and they know that DAF is now #2 in Europe. And that gives them great comfort that DAF will offer a very robust, high-quality product for the Brazilian and Argentinian market.
Seth Weber - RBC Capital Markets, LLC, Research Division: If I -- and if I could ask a follow-up. If your -- I mean, it seems like your CapEx and your R&D is getting -- is peaking here or has peaked, so maybe heading back the other way, does that change your thoughts on capital allocation at all with share repurchase or increasing the dividend?
Mark C. Pigott: Well, the -- that's a great question. Of course, one of the wonderful opportunities of working for PACCAR is we have a very strong balance sheet, a very conservative, focused company so that we're able to do, within reason, a lot of these different activities. Have a good CapEx program and repurchase shares and continue to invest in the overall business. So as CapEx comes down a little bit, I think it's important to recognize we have still many, many projects going on. We have all these wonderful ideas being generated everyday by our teams throughout PACCAR, that we'll continue to fund these great ideas and we want to make sure that we have a very attractive program for our shareholders. And you've seen over, well, decades, a very good quarterly dividend program, occasionally a special dividend, if that's what's merited, and a share repurchase. So we try to work on all fronts with equal facility.
Operator: Your next question comes from the line of J. B. Groh from D.A. Davidson.
J. B. Groh - D.A. Davidson & Co., Research Division: Did you -- I might've missed this, did you give the truck and aftermarket parts sales numbers?
Mark C. Pigott: We will to you, J.B.
Unknown Executive: Yes, the -- for 2012, it was -- the parts sales were 2,667,000,000 compared to 2,577,000,000 in 2011.
J. B. Groh - D.A. Davidson & Co., Research Division: Okay. All right, so I can back out from there?
Mark C. Pigott: You bet.
Unknown Executive: Yes.
J. B. Groh - D.A. Davidson & Co., Research Division: Okay. And then I -- great picture of the new Eindhoven facility. Do we -- when would we -- would we expect to see any sort of inventory impacts from opening that in early part of the second quarter?
Mark C. Pigott: I'm -- no. But I'm glad you raised that because I think a few people talked about general inventory, and I think you all noted that inventory has come down. And I would anticipate inventory would come down a little bit more particularly as the few remaining 2010 -- EPA 2010 engines are installed in customer vehicles. So we pride ourselves on excellent inventory turns and low inventory. I think you'll see some improvement in the first quarter.
Operator: Your next question comes from the line of Alex Potter from Piper Jaffray.
Alexander E. Potter - Piper Jaffray Companies, Research Division: I wanted to come back to the natural gas theme here. I know that you guys have historically, I guess I'd characterize it as, hedged your comments there. You're acknowledging that it's a theme. You're prepared for it. You have the product...
Mark C. Pigott: And we're the market share leader, no hedging there. We're full in.
Alexander E. Potter - Piper Jaffray Companies, Research Division: Exactly. All of that -- right. But you have stopped short of saying that this is kind of a fundamental change. When you talked about it just here a couple of minutes ago, you were talking about mostly on vocational, not yet on long-haul trucking. You have people talking about this year or at some point, presumably, this being kind of a transformational thing, but it sounds like, maybe this year, you don't see that coming. Would you say that that's accurate?
Mark C. Pigott: Well, there are certainly numerous conferences, and maybe you've attended some of them or read about them in industry press. We're excited about the opportunities in natural gas. We have the products. We've got the experience. Our dealers are ready. We certainly have some long-standing customers, particularly a number of them in the port areas. If the infrastructure and a major company, whether it's in the resource industry or somebody else, makes a investment to allow online, highway, natural gas trucks, we're ready for that. That's all we can do. We're ready. We're the leader. So we're excited about it. But until that happens, we'll continue to sell to people that have other requirements in the industry, which is diesel. It's a wonderful fuel and it's very productive.
Alexander E. Potter - Piper Jaffray Companies, Research Division: Okay, fair enough. And then, I guess, my last question here, on G&A. If you could just comment on, I guess, kind of what tools you have in your toolbox for trying to maintain G&A, maintain flexibility in the face of kind of this production uncertainty. I know that last quarter people spent a lot of time talking about production cuts across the industry, to try to realign themselves with this kind of new normal. Would you say that that's -- that theme has basically played out? Or are we just going to kind of see this continue to bleed out over the next couple of quarters?
Mark C. Pigott: Well, G&A and SE&A and managing our general budgets has been one of -- I'm glad you brought it up because that has one of PACCAR's strengths and is -- for 107 years. We run a very efficient, tight ship. And I think we typically lead the industry in the up cycle and the down cycle and the status quo cycle. So that's one of our great strengths. And if the industry is sort of similar to last year, we work it, we continue to see how we're going to become more efficient. And I think, as we've shared over the last, oh, gosh, couple of decades, we're trying to get 3%, 4%, 5%, 6%, 7% productivity improvement in our factories every single year. In fact, we now have a program where we go out and we'll work with our suppliers and our dealers and teach them how to manage efficiently whether it's through Six Sigma or 5S. And it's a nice little business that we've been able to generate. So that's one of the core strengths of PACCAR.
Operator: Our next question comes from the line of Tim Denoyer from Wolfe Trahan.
Timothy J. Denoyer - Wolfe Trahan & Co.: This is a quick follow-up. I didn't really understand your answer on the tooling footnotes, on capitalization. Was that related to Mississippi or just some new products? Or is that just sort of the normal course of business?
Unknown Executive: It is new product tooling.
Timothy J. Denoyer - Wolfe Trahan & Co.: And so that would be sort of an ongoing change, not a onetime thing, right?
Unknown Executive: Yes. It was normal change related to new product tooling in Europe.
Mark C. Pigott: It's really focused in Europe.
Timothy J. Denoyer - Wolfe Trahan & Co.: And I guess, as just one other sort of housekeeping: can you give the margins between the truck and aftermarket segments?
Unknown Executive: We'll have that broken out in our annual report when we report it as a segment.
Mark C. Pigott: I think we mentioned in the press release that, with the growth of our parts business, we look forward to having that as a separate segment and so we'll have that broken out.
Timothy J. Denoyer - Wolfe Trahan & Co.: And I'm not sure if you'll be able to answer this one at this point. But going into 2013, obviously, production is going to be down pretty significantly on a year-over-year basis, but we are expecting an improvement through the year in both North America and Europe. Overall, do you -- can you give us any sense of what you're expecting for sales for 2013? Are you expecting up, down or flat?
Mark C. Pigott: Sure. I think on -- first of all, on the production side, I think we're looking at that as -- in Europe, it could be comparable. In North America, there's some improvement, should be comparable. So I think that's more of the takeaway, I think, you want to be looking at. It's sort of comparable to last year. I mean, there may be some ups and downs, depending on the economy. That's the main one. On sales -- and sales really follows production, so sort of comparable.
Timothy J. Denoyer - Wolfe Trahan & Co.: Okay. Would -- should there be some -- a little bit of a headwind given what you talked about in Colombia and some of the Andean markets? Was that sort of overbuilding a little bit relative to normal this year?
Mark C. Pigott: No, no, no. That was -- we build to order. And all those trucks, if you go down to Colombia, you'll see a lot of good-looking Kenworths driving around. And so they're in operation, they're being reassigned to different types of haulage. But we're looking for that to pick up. It may not happen this year in Colombia. I mean, it's just one market. But as they say, if we get the housing market improving, which it's gone from a low of something over 400,000 starts and now there's projections of 700,000, 800,000, 900,000, that's going to have a positive impact on many, many industries. And certainly, trucking will be one of them.
Timothy J. Denoyer - Wolfe Trahan & Co.: And there's a lot of truckloads in a house.
Mark C. Pigott: There seem to be. We like it.
Operator: Your next question comes from the line of Rob Wertheimer from Vertical Research.
Robert Wertheimer - Vertical Research Partners, LLC: So I had a question on the sequential change in gross margin. It went from sort of, I don't know, 12 4 to, I guess, 11 9 if you back out the accounting change. Is there any production disruption or issue there? Or should I assume it was maybe pricing related?
Mark C. Pigott: I think pricing related is a very astute judgment.
Robert Wertheimer - Vertical Research Partners, LLC: Perfect. That's helpful. And then second question would be: you mentioned the ramp-up in Brazil, are you going to be shipping product? Or are you already shipping product from one of the Western plants to Brazil in order to prep the dealers, in order to stock the inventory and to get sales rolling? And will that have an effect on margin? I don't know, you said a couple of quarters ago you had not done that. I don't know if you've started yet.
Mark C. Pigott: Well, we are -- we certainly have test vehicles running in Brazil, very normal as you go into a new market. And we also have a lot of experience in other countries of South America. So there will be some trucks placed in-country so that the dealers have product to sell. But we're really -- we're building that factory because we're going to supply South America from our Brazil factory. So it's -- that's our focus right now.
Robert Wertheimer - Vertical Research Partners, LLC: No, for sure, I understand that. I was -- the underlying question is just whether you saw a gross margin hit because you had to pay a tariff on stuff that you were stocking the dealers with until the factory is up.
Mark C. Pigott: That's -- no. No, no impact at all. Good question, though. And of course, we want to invite everybody down to Brazil probably early next year. We can show you our beautiful facility.
Operator: Your next question comes from the line of Jeffrey Kauffman from Sterne Agee.
Jeffrey A. Kauffman - Sterne Agee & Leach Inc., Research Division: I'd -- unfortunately, I'm late in the call here so a lot of my questions have been asked, but let me ask you a fluffy one here. We talk about the new product. You talk about how we're pushing MX and you've got the new XF Euro 6 engine with DAF. What are customers asking you for today that you don't do?
Mark C. Pigott: That is a great question. We should get you on our strategic planning group. It's funny, -- our -- I've been in this business 35 years and I've had -- I got a lot of wonderful friends, customers and dealers. And the list is probably long of things that they would like us to do. The good news is that we are ahead of their request the vast majority of the time and they're very, very happy. But there's always, whether it's minor design enhancements, different services. But I'd say, the vast majority of the time, we're ahead of what they're expecting. But occasionally, there are some really good ideas that we do incorporate. And we have customer panels, groups of people get together. We have dealer groups that get together. We have supplier groups that get together. And it -- I -- this is going to -- you asked me a nice, fluffy one, I'll give you a little bit of a fluffy answer. But we pride ourselves on the highest-quality products with the best residual and the lowest operating costs. And that's what we deliver. So when you're getting that as a customer, you're generally pretty happy.
Jeffrey A. Kauffman - Sterne Agee & Leach Inc., Research Division: Okay. So outside of, say, natural gas which, as you say, we're poised and we're ready but it's not ready. There's nothing meaningful the industry is asking for that isn't in the product lineup right now?
Mark C. Pigott: No, no. That's -- no. That's -- I mean, it's a good question, though. We have a very broad array of product offerings and options that we bring to the market on a global basis. And in the markets where we are, I think we have a -- we do a very, very good job. As we move into China and India -- they have slightly different demands and that's what we're working through to get a better understanding of what that market requires. And that's a ways off. But certainly, now with our growth in India, we have a couple hundred of wonderful employees working there, whereas a couple of years ago we did not. That is certainly opening our eyes to another opportunity. And we're sort of bringing that on board.
Operator: Your next question comes from the line of Brian Sponheimer from Gabelli & Company.
Brian Sponheimer - Gabelli & Company, Inc.: Just a question on December and concerns heading into the fiscal cliff around bonus depreciation. What sense, particularly in the used market, did you get from your dealers that there may have been some sort of, I don't know, I don't even want to call it a prebuy, but concerns that there might have been the loss of the bonus depreciation and maybe some purchases pulled forward from the first quarter?
Mark C. Pigott: Let's talk a little bit about used trucks because that is an important element, certainly, in our life and the life of our customers and our dealers. As we look over the last 4 years, going back to the early part -- or the late part of '09, the good news is that used trucks are up about 65% in value over the last 4 years. And that's very, very encouraging in terms of our average sales price. Towards the end of last year, there was a little bit of a falloff, but now we've seen -- starting out this year, we've seen a pretty steady -- in terms of used truck valuations. So that's one of the real core strengths that we bring to our customers with Kenworth, Peterbilt and DAF, is that our vehicles 3, 4, 5 years out are going to be worth significantly more than our competitors', and we said that time and time again in the used truck marketplace...
Brian Sponheimer - Gabelli & Company, Inc.: Are you comfortable with the amount of inventory, used inventory, in the system right now on an industry-wide basis, as far as holding up most of it [ph] for your trucks?
Mark C. Pigott: Yes, yes. No, we're comfortable with it. And I mean, just general inventory for our dealers is actually pretty low. And I think our dealers are adding -- I'm talking about new trucks now, but adding new trucks to customers as they see a little bit of a pickup. But used truck inventory is -- yes, it's reasonable, yes.
Operator: Your next question comes from the line of Satish Athavale from KSA Capital.
Satish Athavale: So Mark, looking at your aftermarket spare parts business. That business was growing at double-digit pace last year. And throughout 2012, it looks to have decelerated pretty rapidly. And in the second half, it looks like it was actually down year-over-year. So you commented that your customers seem to be doing fine, so why is there this seeming disconnect between your aftermarket spare parts business and...
Mark C. Pigott: Well, the good news, aftermarket was at record levels, so that's -- let's sort of lay the foundation there, that's important. In fact, it's the third consecutive year of record sales for parts. So the -- I think the parts team have done an outstanding job. In terms of any slowdown in the parts sales, and remember this is a slowdown to a record, very important. I think that's -- primarily be in Europe as some of the southern countries, which are well documented, with challenges, we've seen some definite slowdowns there. But on the other hand, we're going to be opening a brand-new distribution center. I know a number of the tech companies get a lot of press when they open up distribution centers. I hope we do also. And we've already had probably close to 1,000 of our parts and service people from the dealers in Europe going through our new center. And I think there'll be some renewed enthusiasm for the aftermarket business in Europe.
Satish Athavale: Okay, great. So for next year, to -- I mean, for this year, 2013, what kind of growth should we expect from the aftermarket business?
Mark C. Pigott: Yes, we don't typically break out that. But the team is working hard to do another great job.
Satish Athavale: I'm sure they will. So one last question: what was your effective tax rate, excluding the one-off item, in the fourth quarter?
Unknown Executive: Be around 32%.
Operator: Your next question comes from the line of Jay Van Skiver [ph] from Hedge Cue [ph].
Unknown Analyst: Could you provide your backlog at year end? And secondly, could you give us a sense of what you expect in terms of market share next year given what you see in the present order trends?
Mark C. Pigott: Those are 2 great questions which we typically don't really share too much. Backlog is probably coming down a little bit. But our share is driven by how successful we are in the marketplace.
Operator: [Operator Instructions] At this time, there are no further questions.
Robin E. Easton: I'd like to thank everyone for their excellent questions. And thank you, operator.
Operator: Thank you. Ladies and gentlemen, that does conclude today's PACCAR's Earnings Call. Thank you for participating. You may now disconnect.